Operator: Good morning. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to Tennant Company's 2023 Third Quarter Earnings Conference Call. This call is being recorded. [Operator Instructions] Thank you for participating in Tennant Company's 2023 third quarter earnings conference call. Beginning today's meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone, and welcome to Tennant Company's third quarter 2023 earnings conference call. I'm Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are Dave Huml, Tennant's President and CEO; and Fay West, Senior Vice President and CFO. Today, we will provide you with an update on our third quarter performance. Dave will provide you an update on our operations and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. An earnings press release and slide presentation that accompanies this conference call are available on our Investor Relations website. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we filed with the Securities and Exchange Commission. We encourage you to review those documents, particularly our Safe Harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2023 third quarter earnings release and presentations include the comparable GAAP measure and a reconciliation of these non-GAAP measures to our GAAP results. I'll now turn the call over to Dave.
Dave Huml: Thank you, Lorenzo, and hello, everyone. On the call today, I will be discussing highlights from the third quarter, our outlook for the remainder of 2023, our performance against our current enterprise strategy targets, and the framework and transition to our new planned enterprise growth strategy. I am very pleased to report our strong Q3 results, which built on the momentum we generated in the first half of the year. This was the fourth consecutive quarter our global team delivered strong organic net sales and adjusted EBITDA growth above our expectations. Our performance puts us on pace to deliver a record-setting year. I could not be prouder of the teams who have worked diligently to execute our enterprise strategy, manage the supply chain crisis and serve Tennant's customers around the world. In the third quarter, we achieved net sales of $304.7 million, bolstered by organic sales growth of 13.9%. Orders have remained resilient, and we reduced backlog meaningfully for the third consecutive quarter. We continued to reduce lead times and deliver the exceptional products and services our customers expect from Tennant. Backlog levels have returned to normal in nearly all product lines, except for those industrial products that are exclusively produced out of our Minneapolis plant. We expanded gross margins to 43.3% and delivered adjusted EBITDA of $45.9 million. Our price realization efforts, along with a moderating inflation environment, drove our strong operating performance. Additionally, we converted over 100% of net income to free cash flow, as we continued to make improvements in working capital. This enables us to focus on making strategic investments and return capital to shareholders through dividends and share repurchases. Based on our performance during the quarter and outlook for the fourth quarter, we are increasing our full-year 2023 net sales guidance to between $1.23 billion to $1.25 billion and adjusted EBITDA guidance to between $190 million and $200 million. Both of these establish record highs for the company. We expect that order rates will remain resilient and that parts availability and inflation will remain at current levels, allowing us to deliver exceptional results for 2023. Fay will talk about our new guidance in more detail as she discusses our financials. Over the last several years, we have provided regular updates on Tennant's enterprise strategy. Developed in 2019, this strategy focused on driving structural improvements into our business to deliver expanded profitability. Its three pillars are: one, winning where we have a competitive advantage; two, reducing complexity and building scalable processes; and three, innovating for profitable growth. These pillars were designed to drive shareholder value and increase adjusted EBITDA margins to 15% by 2024. I am happy to announce that based on our anticipated full-year results, we believe we will meet each of our key financial targets by the end of 2023. We targeted annual net sales organic growth rate of 2% to 3% net of divestitures. We expect to deliver an organic growth rate of approximately 3%. We targeted annual adjusted EBITDA growth rate of 6% to 10%. We expect to deliver 9%. We targeted annual adjusted EBITDA margin improvement of 50 basis points to 100 basis points, and we expect to deliver on average approximately 75 basis points of adjusted EBITDA expansion per year, achieving an adjusted EBITDA margin of greater than 15%. All of this was achieved a year ahead of schedule amidst the global pandemic and unprecedented global supply chain disruptions. It is a compelling demonstration of the strength of our global team, as well as our organizational agility. As we successfully conclude our prior enterprise strategy, we have been planning the next chapter for our company, a pivot to growth. Over the last four years, we have built new execution capabilities and rigor and have implemented structural changes that provide a solid foundation for Tennant. We intend to leverage this foundation as we move forward. The long-term prospects for Tennant Company are very bright. And our new growth-focused enterprise strategy, which we will launch in 2024, is centered on strategic pillars for growth, performance and people. Our growth pillar will target differentiated sales growth in the mid-single digits and above-market growth rates. We will expand profit margins and maintain operating efficiency through pricing discipline, prudent expense management and investments in productivity. Our performance pillar will elevate how our business is run in order to optimize cost structure, accelerate decision making, deliver an improved customer experience and embed our sustainability ambitions into our enterprise strategy. We will achieve this by: standardizing and optimizing global processes informed by our customer value proposition; investing to modernize and consolidate our existing ERP systems to a best-in-class SAP cloud-based solution -- over the next two years, this initiative will build a digital infrastructure for Tennant that will scale as we grow, driving incremental operating efficiency and resulting in incremental cost savings; and accelerating our sustainability progress by embedding our Thriving People, Healthy Planet framework across our enterprise to deliver results for our customers, employees and other stakeholders. Our performance goals can only be met if our organization attracts and retains talented people who can drive change and help deliver our exceptional products and services to our customers. Our people pillar will achieve this by: investing in our employee value proposition so that we can deliver a clear, consistent and compelling promise to employees and prospects about reasons to work at Tennant Company; and accelerating our DE&I roadmap and representation ambitions to create an inclusive environment in which all of our employees can thrive. Through our growth strategy, we will proactively supplement organic growth with strategic acquisitions that enhance shareholder value. Based on our financial strength, compelling value proposition and extendable and winning business model, we believe we are well positioned to drive growth through acquisitions. Tennant has a solid position in an attractive and growing core market, with 13% share of an $8.5 billion addressable cleaning market. Our first area of focus will be to grow the core through bolt-on acquisitions, closing product gaps and strengthening our channel position in attractive geographies. We will also look to leverage our strengths, capabilities and unique assets to explore attractive adjacencies and expand into non-cleaning mobile equipment. We will focus primarily on mobile equipment companies that have similar supply chain and manufacturing characteristics, similar end markets or channels, and potential cross-selling opportunities with the legacy Tennant footprint. Our ideal targets will provide opportunities to extend autonomy and leverage our service infrastructure and expertise. Lastly, we will focus on the connected autonomy technology stack by identifying products and services we want to either develop internally, source on the open market or acquire directly. Our disciplined M&A process will focus on those opportunities that provide the right strategic value, operational fit and financial returns. We are shifting our M&A approach from reactive to proactive and are resourcing our organization accordingly. With that, I will turn the call over to Fay for a discussion of our financials.
Fay West: Thank you, Dave, and good morning, everyone. In the third quarter of 2023, Tennant delivered net income of $22.9 million, an increase of $7.3 million from the prior-year period. Strong operating performance was fueled by higher net sales and gross margin expansion. Net sales growth and gross margin improvement were driven by both higher price realization and volume increases. Selling and administrative expenses were higher in the quarter as compared to the prior-year period due to higher variable costs associated with the increase in operating performance. As a percentage of net sales, S&A expense for the third quarter of 2023 increased by 170 basis points to 28.9% from 27.2% in the prior-year quarter. As we discussed during the second quarter, we anticipated an increase in S&A expense and focused our incremental spending on employees and strategic investments to fuel growth opportunities. Higher interest expense and higher income tax expense also impacted net income, in line with our expectations. Net interest expense increased to $3.3 million in Q3, up from $2.2 million in the prior-year period. The increase was due to rising interest rates on our variable interest rate debt. Our interest rate, net of hedges, was approximately 4.4%. Income tax expense of $7 million was $2.8 million higher than the prior year. The comparison between periods was impacted by a decrease in discrete tax benefits recognized during the quarter, along with unfavorable changes in the mix and forecasted earnings by country. The third quarter's effective tax rate of 23.4% is in line with full year expectations. Third quarter adjusted earnings per diluted share, which excludes amortization, increased to $1.34 per share from $0.98 per share in the prior-year period, driven by our strong operating performance. Turning to Slide 9. Net sales for the quarter were $304.7 million, a 15.9% increase compared to the prior-year period, or 13.9% on an organic basis. Approximately 65% of the year-over-year growth was attributed to pricing, while the remaining 35% was driven by volume. We ended the quarter with approximately $214 million of backlog, a reduction of $41 million from the end of the second quarter. Continued parts availability and a relatively stable supply chain environment allowed us to increase our production. This helped us service outstanding backlog and deliver customer orders. Net sales growth of $41.8 million in the quarter was primarily due to this reduction in backlog. As a quick reminder, Tennant groups its sales into three regions. The Americas include all of North America and Latin America. EMEA covers Europe, the Middle East and Africa. And Asia Pacific includes Australia, China, Japan and other Asian markets. Each of our regions achieved year-over-year net sales growth. Net sales in the Americas grew substantially, 21.4% to $211.2 million, or 20.8% on an organic basis, while FX had a favorable impact of approximately 0.6%. This significant year-over-year growth in our largest region was well above expectations. It was driven by an approximately equal mix of price realization and volume increases, led by strong equipment sales in North America. Net sales in EMEA in the third quarter increased 4.3% over the prior year to $72 million. A favorable FX impact of approximately 7.1% was partly offset by an organic sales decline of 2.8%. The organic sales decline was driven by volume declines in both equipment and parts and consumables, partly offset by price realization in all product categories. EMEA volumes were impacted by weaker-than-expected market conditions. Net sales in the Asia Pacific region increased by 8% over the prior year to $21.5 million, or 11.8% on an organic basis. This was driven primarily by price realization in Australia and volume growth in China. However, it was partly offset by a net unfavorable impact from foreign currency exchange of approximately 3.8%. We also group our sales into the following categories: equipment, parts and consumables, and service and other. We experienced growth in all categories in the third quarter of 2023 as compared to the prior-year period, most notably in equipment sales, which grew 23.2% year-over-year, well above our expectations. Turning to adjusted EBITDA. Adjusted EBITDA for Q3 was $45.9 million, an increase of $12.1 million versus the prior-year period. Adjusted EBITDA margin was 15.1%, an improvement of 220 basis points versus the prior year. Our sales growth, driven by both volume and price, along with expanded gross margins, were the most significant drivers of adjusted EBITDA growth. Gross profit of $132 million was $31.3 million higher than the third quarter of last year. Gross margin of 43.3% in the third quarter of 2023 improved 500 basis points compared to the prior year. We have successfully returned to pre-pandemic gross margin rates, based on strong price realization, which offset the multi-year impact of inflation. S&A expense of $88.2 million increased $16.8 million compared to the prior-year quarter due to higher variable costs associated with increased operating performance and incremental spending on strategic investments. We anticipate S&A expense as a percentage of sales on a full year basis will be comparable to the prior year. Turning now to capital deployment. Net cash provided by operating activities was approximately $54 million in the third quarter compared to net cash used in operating activities of approximately [$15 million] (ph) in the year-ago period. The increase was the result of improved operating performance, coupled with a significant reduction in strategic inventory spend. Capital expenditures of approximately $4 million were in line with our expectations and are on pace to meet our full year guidance. In alignment with our capital allocation priorities, we returned capital to our shareholders with dividend payments of $5 million and repurchased approximately 22,000 shares of our common stock for $1.7 million. We also announced a 5.7% increase in dividend to $0.28 per share, marking the 52nd consecutive year the company has increased its annual cash dividend payout. Tennant's liquidity remained strong with a balance of $97 million in cash and cash equivalents at the end of the third quarter and $316.9 million of unused borrowing capacity on the company's revolving credit facility. At the midpoint of our full year guidance range, our net leverage was approximately 0.6 times adjusted EBITDA, lower than our stated goal of 1.5 times to 2.5 times. We have remained focused on maintaining a strong balance sheet. Given our robust cash flow generation and in the current interest rate environment, we have directed cash to reduce debt by $56.2 million in the third quarter. Moving to guidance. Our strong performance in 2023 has been above our expectations. It is a direct result of our ability to effectively manage the global supply chain crisis and emerge stronger than ever. As Dave mentioned, we navigated a global pandemic and supply chain disruptions, while still delivering on our enterprise strategy a year ahead of schedule. The changes we have made over the past three years demonstrate that our goal of mid-single digits and above-market growth rates is sustainable. We are pleased with our third quarter results. And based on the continuing trends, we are increasing our full-year 2023 guidance. Our year-to-date results have benefited greatly from a significant increase in the availability of parts, and we believe we will continue to see overall improvement in our supply chain. The improvement in parts availability allowed us to increase our production to fulfill open orders and meaningfully reduce backlog. Given this trend, we expect fourth quarter net sales to be between $298 million and $318 million and adjusted EBITDA to be between $39 million and $49 million. Implied in our guidance is our expectation that we will be able to reduce backlog below $200 million and will return to more normalized levels of backlog by the end of 2024 or early 2025. Overall, demand has been resilient. We are monitoring global order rates very closely, especially as we see some market softening in EMEA. Further, we anticipate continued strong price realizations. However, gross margins may see some variability in the fourth quarter as our revenue mix will see some seasonal geographical changes. Based on the timing of spend, R&D expense will be higher in the fourth quarter. We remain cautious and prudent in our spending. But as expected, we anticipate that S&A will be higher in the fourth quarter, as we invest in employees and strategic growth opportunities. Given these factors and the strong profitable growth in the first three quarters of the year, we are raising our outlook for the full year of 2023. Specifically, we now expect net sales to be in the range of $1.23 billion to $1.25 billion, reflecting organic sales growth of 12.5% to 14.5%; adjusted EBITDA to be in the range of $190 million to $200 million; and adjusted EBITDA margin to be in the range of 15.4% to 16%. With that, I will turn it back to Dave.
Dave Huml: Thank you, Fay. We are on pace for a record 2023 for Tennant Company, and I could not be prouder of the work our high-performance teams have achieved. I'd like to take this opportunity to invite everyone to an Investor Day we will be having in New York in spring of 2024. More details will be published soon. With that, we'll open the call up to questions. Operator, please go ahead.
Q - Chris Moore: Hello?
Fay West: Hello?
Chris Moore: Yeah. I'm not sure if the line is dead or...
Fay West: No, it's not...
Dave Huml: Good morning. We're having trouble locating our operator. Why don't you go ahead and ask your question? We'll moderate ourselves.
Chris Moore: Terrific. All right. This is Chris Moore from CJS. All right. First of all, congratulations, a great quarter, great year-to-date. It looks interesting, lots here. So, you talked about orders being resilient. I think they had been pretty much flat year-over-year, Q1 and Q2. Is that about where you ended Q3?
Dave Huml: Well, first and foremost, thank you. Appreciate the recognition of the record quarter. We're really proud of the results we delivered. From an order perspective, yeah, we've been describing our order pattern as resilient, given all of the potential for disruption over the last five quarters of supply chain crisis and growing backlog and inflation, et cetera. Q3 orders were slightly up versus the same quarter in 2022. If you recall, Q2 was a tougher order quarter for us, and we described it as flattish, which left us questioning what Q3 would hold. So the fact that Q3 orders were up on a quarter-over-quarter basis gave us some confidence as we look toward towards fourth quarter. It also appears that we're returning to some semblance of normal seasonality, which allows us to be more predictable in how we forecast our business. Q3 was in line with our expectations. And I'll note, at an enterprise level, if you dig within the quarter, one of the metrics we use to get a signal from the business about how the order demand is shaping up is an average daily order rate. And on an average daily order rate basis, September was actually our highest quarter -- excuse me, our highest month year-to-date. So, one month is not a quarter or a year [to make] (ph), but the fact that we finished Q3 strong is another important data point that gives us some optimism, not only on the quarter but for the year. The one area we're monitoring very closely is EMEA. Orders have been softening in EMEA year-to-date. They were down slightly in the quarter. We think we understand what's underneath that, and that's driven from a macroeconomic perspective. So, we want to keep close tabs, and we're taking appropriate actions as far as how we plan our business, given the softening order pattern in EMEA. But we're monitoring closely to make sure that we're rightsizing the business appropriately and responding to the signals we're getting. Having said that, our share position provides significant upside for us in the EMEA marketplace. And so, we're not folding up tents and going home just because orders are a little bit soft, and there are some macroeconomic headwinds.
Chris Moore: Got it. Very helpful. Conversely, it looks like volume was up a bit in China, which lots of companies are calling out kind of challenges there. Anything you're seeing on that front?
Dave Huml: Yeah, it was a great quarter in China. Markets reopened. We're up over 20% in the region. Obviously, it was an easier comparable. But the fact that the market is open, we're able to operate freely and get our product out into the channels and out in front of customers. We are harvesting the reopening within the marketplace. It's a positive outlook. We have a similar outlook for order demand in China in Q4, a continuing trend of positivity year-over-year. So, we continue to be bullish on our opportunity in China. And the fact that we've invested -- we invested in an acquisition in China, Gaomei brand, we have a very broad product portfolio. We've made investments and continue to invest in our multichannel go-to-market in China. And so, we think we're really well positioned to capitalize on the reopening and the market demand in the China marketplace here as we exit the year and set up for 2024.
Chris Moore: Got it. And just lots of talk about a longer, higher Fed equation. Just curious how you're looking at pricing beyond '23. Historically, maybe normal was 1% or 2%. Just any big picture thoughts in terms of what pricing will look like beyond '23?
Dave Huml: Yeah. We're working on that now and pulling the data from the marketplace, not only from internal inflation projections, et cetera, but also market competitiveness. There's been so many moves in the marketplace over the last couple of years, we're going to make sure that we're offering a very compelling value proposition with our products and continue to offer strong customer economics with our price positioning as we move into 2024. Having said that, we're imagining that we will move to a more traditional kind of an annual price increase kind of pricing structure for 2024. In 2021, '22, we obviously had to do mid-year price increases in response to the massive inflation that was layering into our business. So, we expect to move into more of a normal annualized kind of price increase. I think in the low-single digits is reasonable, if you look at what the outlook for inflation is. And importantly, the price increases we've published to date and coming through 2023 cover us on a multi-year inflation basis. So, we feel like we trued up and we're whole as we enter 2024, and we'll look for a kind of low-single digit type increase across the board. Within that average across the company, there are opportunities where we can take more price and be more aggressive. Where we have a competitive advantage, where we have a strategic opportunity, we want to make sure that we're harvesting those opportunities, and in other categories, where it's more competitive, and we've got to get more aggressive to go gain share. We're going to pull that lever as well. The other piecing relative to pricing that we'll maintain is our discipline around discounting. That was a muscle that we enhanced coming through our prior enterprise strategy. And so, all of our operating geographies and our business units have a very rigorous process and discipline in place for managing discounting to make sure that where we give discount, it's specifically targeting incremental volume or share gain.
Chris Moore: Got it. Maybe just the last one for me. The pivot to growth looks really interesting. On the M&A side, is the -- just the current pipeline, is there much in there at this point in time? Or it's really getting renewed at this point?
Dave Huml: Yeah. We're populating the pipeline as we speak. Given that the first leg of our M&A strategy is to grow the core, we know many of these players from operating in this marketplace. And so, populating the funnel, at least with our known potential targets, is relatively simple. We are taking a very comprehensive look back and within each of the three pillars of our strategy to populate the funnel with potential candidates, and then we'll put them through a filtering to decide which ones we want to pursue proactively, while we're monitoring the entire category for action if something becomes available and we have to be more opportunistic. But I would say that the grow the core funnel is probably the most populated just because that's the closest adjacency, but we've begun to populate the rest of the funnel as well, and we'll be activating reach-outs here. We have started and we'll continue the reach-outs here as we move into the coming quarters.
Chris Moore: Got it. Really helpful. I will step back and hopefully operator will get things going.
Fay West: Thank you.
Dave Huml: Thanks.
Operator: Your next question comes from the line of Steve Ferazani from Sidoti. Please go ahead.
Steve Ferazani: Good morning, everyone. Appreciate the detail on the call. I guess the surprise to me in the quarter was how strong the gross margin continued, given that obviously, it was going to be reduced backlog conversion. And given your guidance adjustment that you're still -- you moved to the high end of the sales range, is the guidance change primarily related, on the EPS side, to the really healthy gross margins, even though you said you might have a little bit of a step-down in Q4?
Dave Huml: Answering your second question first, yes, the drop-through on the expanded margins are reflected in our increased guidance. And the gross margin expansion has really been a hard-fought battle here as we've tried to weather the inflation that's layered into the business over the prior seven to nine quarters. We have a number of levers we pull to offset inflation. At first blush, we push back on increases in every form possible. We also have built a cost-out muscle so that we have a very comprehensive cross-functional process we use to rack and stack the greatest opportunities to drive cost back out of the business, and we fund and resource those as part of our annual plan. We're also improving our SIOP capability through our enterprise strategy we just concluded so that we can operate with greater productivity as to sort of having a better outlook and forecast for what we expect to sell allows our manufacturing supply chain to plan better and operate more productively. As kind of our option of last resort, we move with strategic price increases. And so, the margin expansion that you saw in the quarter is really a result of strong price realization and publishing prices to cover a multi-year inflation. So, this is inflation we already incurred in the business, either in this year or in prior years, and really making ourselves whole.
Steve Ferazani: Did you have the -- did you have more than one price increase this year?
Dave Huml: No, we didn't. This is the realization on the formerly published price increases.
Steve Ferazani: Fair. Okay. You've announced and released a lot of new products over the last 12 months. Can you, if not quantify, at least qualitatively talk about success or future potential reaching a wider audience with some of these new products? And also whether you're starting to see greater sales with your current customer base, given the greater availability of products?
Dave Huml: Yeah. We're really excited about our new product pipeline. And if you look back at the products we've introduced, they've fallen into three broad categories. One is in the area of small space. And I've talked about small space offerings as being a really attractive segment because there are small space applications in virtually every one of our served vertical markets, and we can sell these products through every one of our channels. And so, it's a really attractive and component space. Our i-mop product, i-mop XL, i-mop and i-mop Lite have been very significant product launches. We also had our CS5 in our small space category. We're really pleased with the success of those products, and we'll continue to iterate and launch more products into the small space category. These tend to be smaller ticket value per unit, and so you have to sell a lot of them to add up to the revenue of an industrial machine, for example, but they're an important component of owning the entire space within our customer. We have channel leverage we can obtain. It supports our brand as being the comprehensive supplier. And ultimately, the goal is to convert mop and bucket, and so get out of the mop and bucket cleaning and move into a mechanized solution. So, we're really pleased with the progress to date. You'll continue to see more new products in the small space category. We've been extending our product lines by taking our acquired platforms from IPC and Gaomei and rebranding them and bring them into new geographies so that we can compete at more mid-tier price points competitively and maintain margins. It also allows us to maintain premium pricing on our legacy Tennant brand, for example. That has been very, very successful in terms of maintaining margin on the legacy branded side, the premium position, but also serving existing customers and new customers at those more competitive price points and going toe-to-toe with our competitors, where in the past, we would have had to discount our premium product to compete. Now, we have a product that's been designed for that mid-tier application that we can sell profitably and deliver a fantastic customer experience. And we can wrap all the premium products and the mid-tier products in the Tennant ecosystem of aftermarket service and support. So, it's really a compelling offer as we approach both new and existing customers with our mid-tier offerings. And we're doing that on a global basis because those mid-tier opportunities exist in virtually every market that we currently compete and participate. And last but not least, we talk a lot about AMR. We have introduced multiple products in the AMR space. And so, we believe, today, we have the broadest portfolio. We're really excited about our T16AMR. We've talked about it on former calls. It gives us a robot to sell into industrial applications, in manufacturing and warehousing and logistics. That has been a traditional Tennant strength for the company in those vertical markets. Our customers were asking for a robotic solution in those markets. And we believe we have a differentiated offering. We also believe that over -- we believe adoption could be quicker in those environments because you don't have the added complexity of having to deal with the public walking through those environments. And those types of customers are more adept at making capital investments and delivering a return on those investments because it's largely operating within -- done within the four walls of their facility. And so, we think that adoption can actually be quicker. And over time, we think that could be a larger robotics opportunity from a served market potential than some of the other vertical markets that we entered earlier in our journey. So, excited about AMR and the new product opportunity in that space as well, as we go forward. You should expect to see new products in those three categories as we move forward. We're investing -- we've maintained our investment in R&D as we've come through the prior years. We'll see the fruits of those labors as we launch new products here in the future years. I'm really excited about where we're heading with our new product pipeline.
Steve Ferazani: Great. If I get one last in, it's not the most exciting topic, but it was in your deck, modernization of ERP. I know that can go for companies really, really well. And it can also, in the near term, present challenges. Can you talk a little bit about where you are on that? What do you think the opportunities are and how you avoid problems that other companies, obviously, have historically run into wouldn't have tried to implement new ERP?
Dave Huml: I appreciate the question. Obviously, it's top of mind, and we felt it was appropriate to signal that we're doing work to plan for this. ERP migration is never -- you said it, it's not particularly exciting. It's not particularly fun to contemplate, and it's not without risk. But I will tell you that I have a high level of conviction that it is necessary and it's critical to build out our digital infrastructure to enable our growth, to provide scale leverage as we move forward, to enhance our cybersecurity, to improve our compliance and ultimately deliver a better customer experience and make Tennant Company easier to do business with. So, I have a high level of conviction that it's the right direction for the company. We're operating on a 15-year-old system today. And across our global enterprise, we have eight different ERPs or instances of ERPs, which makes it extremely cumbersome to operate. So, it's kind of nonnegotiable in my mind at this point. You may ask, well, why now? And as we've talked about it and in close partnership with our Board of Directors, we're kind of through -- largely through the disruptions of the prior years, including the supply chain disruption. We've demonstrated that we're taking backlog down meaningfully and operating in a more predictable fashion relative to supply chain. And importantly, we're launching a new three-year strategy. And so, to be able to introduce the ERP consolidation in the context of a growth strategy allows us to resource it appropriately, to make the appropriate trade-offs and to plan for the investment that the ERP consolidation will be, while we continue to grow the core business around it. I'm really viewing this as an investment for the next 10 to 15 years of this fantastic business that we've been entrusted to manage. Where we're at? We really devoted 2023 to a planning exercise. We've pulled forward most of our large scoping decisions. We have selected our final ERP and negotiating our statements of work, as well as our partners that will support our integration. We are working through our resourcing plans to make sure that we have the appropriate amount of internal and external resources supplied to the project. And we're working on our business case to understand what will be the investment required and what return can we expect for the investment. So, 2023 has been largely devoted to planning. And it's one of the areas that we were counseled as we went out and benchmarked and studied best practices and talked to others who had gone before us on this journey. Appropriate planning ahead of time, pulling forward big scope decisions so you can avoid scope creep and delays in decision-making later in the program, picking the best partners and being very crisp on what the expectations are, as well as appropriately resourcing the project are areas that were identified that we could mitigate the inherent risk in a program like this. This will be a significant investment of time and money as we go forward. We'll solidify our thinking around the business case, as well as the return we expect to get for the investment and share more details as we move forward. But we want to make you aware that we've done some work, and we're heading in that direction.
Steve Ferazani: Great. Thanks, Dave.
Dave Huml: You bet.
Operator: [Operator Instructions] Your next question comes from the line of Tim Moore from EF Hutton. Please go ahead.
Tim Moore: Thanks, and congratulations on the very impressive gross margin expansion and, clearly, the operational efficiencies. It was really nice to see the 9% hike to the adjusted EPS midpoint of the range this year. Fay, you already gave commentary maybe about the fourth quarter possible gross margin. But how should we think maybe about gross margin for next year? Is 41% more realistic of your magnitude, maybe after you lap some of the heavier price realizations this year?
Fay West: Yeah. So, we're actively working on 2024, and we'll be able to provide some additional guidance really after -- in the first quarter of next year. We are operating in gross margin ranges that we think are achievable and could be sustainable going forward. So, I think just stay tuned on kind of more specifics as to what we anticipate in 2024. But I think where we landed on a full year basis is a good proxy.
Tim Moore: Great. That's helpful color, and I look forward to the February earnings call. And I just had a question about your backlog. It was an inevitable decrease, more normalized supply chain. All the industrial companies, their backlogs are coming down in the sector. I was just wondering maybe, Dave, how close are you to maybe a more normalized component supply chain and line disruptions? I know that you made a lot of good progress on that. I'm just trying to think in my head, are you like 90% on the way there with avoiding that drag from the supply chain, as I try to parse out really the gross margin expansion from better operational efficiencies and utilization versus kind of the catch-up pricing realization?
Dave Huml: Yeah. I would say, broadly speaking, we're through the major supply chain challenges that we experienced. It's hard for me to put a percentage on it because we always manage supply chain challenges. I would say, we spent seven quarters talking about pumps and circuit boards. And while we're still actively managing those commodities in those parts for our production, it's not at the heightened crisis level that we were in, as you say, like this time last year where we were spending a lot of time and energy and resources and investments to try to overcome those two specific commodities. So, yes, I think we're approaching a more normalized kind of supply chain environment. We have enhanced our capabilities around supply chain management. We've made some investments to improve our capability there. As recently as this quarter, we've invested both in people and in systems to improve our supply chain capabilities. And that's really to enable ourselves to operate more productively and support our growth going forward. We're not going back and preparing for yesterday's problems. We're looking forward and saying, we've survived, we've built some new muscles, most of the investments we've made have paid off over time, and now, we want to make sure that we have the capability to support the business going forward. I think your question led off with kind of the backlog reduction and how to think about backlog. In the quarter, we took backlog down at the enterprise level from $255 million to $214 million. At our inflation adjusted rate, a normalized backlog level for the enterprise would be in the $50 million, $60 million range, varying by quarter. Obviously, we have some seasonality. We would be buying ahead to service, but $50 million to $60 million. So, you can think about the gap still to close from the $214 million that we're exiting this quarter, down to the more normalized rate. And we expect to make progress against that in the continuing quarters on the strength of supply chain and the strengthening supply chain. Having said that, the backlog is becoming increasingly consolidated in industrial product that is manufactured in one plant in Minneapolis. And those products are only built for the globe. They're only built in that one plant. And so, when you think about having an elevated backlog, concentrated in one or two or three assembly lines, it becomes more difficult to move the needle on a quarterly basis as we reduce those backlogs. So, it allows us a laser focus on the investments and adjustments we need to make to reduce the backlog. Every dollar of backlog represents a customer that's waiting on a Tennant product. So, we are highly motivated to get the product out the door. And we'll update on the progress we make, but I expect that we'll be able to reduce backlog at a decreasing rate as we move forward because of the consolidation on single products within the Minneapolis plant.
Tim Moore: Great. That's helpful color. I just have a two-part question now. Maybe can you -- Dave, you've done a great job explaining some of the drivers behind the industrial end markets. We get the warehouses and logistics and compact. And is there any other things that are driving kind of the industrial side and market growth, which seems to be vastly outpacing retail and schools and hospitals?
Dave Huml: Yeah. I think it's a really dynamic space, maybe more dynamic than it's been over the past, at least, my tenure here at this company. So, depending on how wide you open your aperture, there are conversations around reshoring, and we've got some of our businesses reporting some benefit out in the future from reshoring. Primarily along the border and in Mexico is where we hear companies are contemplating expanding square footage on a more -- to serve domestic market closer -- kind of closer to home. I think that you see companies investing in kind of Industry 4.0 because they've got labor shortages and a rising inflation, cost of labor and the labor component of their -- whether they're a manufacturing environment or a warehousing logistics environment, labor is becoming more scarce and more expensive. And so, to the extent they can invest in automation to reduce the reliance on labor, that's going to be a positive across vertical markets. And the labor tailwind is consistent across all of our vertical markets. So, you see, virtually every vertical market we operate in is trying to automate to reduce the reliance on labor and/or make it easier to hire lower-skilled labor to do the work. And then -- so, I think the macro trends are largely blowing in our favor. You mentioned specifically manufacturing and warehouse and logistics. I think there has been -- obviously, there are segments within those categories that are growing at a higher rate than some other segments. If you think about the growth in EV and the growth in the supply chain for EV and lithium-ion batteries, et cetera, those are primarily new square footage to service those categories. And then, the last one that has been more of a decade-long trend has been e-commerce. As e-commerce has grown, there has been a differing addition in square footage, both in retail as well as back end back in the distribution centers to support e-commerce. And so, as e-commerce continues to grow, and all the outlook is that e-commerce will be a significant portion of the holiday season this year through Q4, that creates opportunity for us. What I would tell you is, as we translate the tailwinds of macro trends into what it could mean for Tennant, the Tennant equipment tends to come in late stage after a new square foot is built. So, you'll hear about the project and you'll read about it, and even if you get Dodge reports. And then, they'll be in construction. Construction will take longer than they would like because they can't find the labor. And then, the last thing they do before they turn the keys over to the owner is clean the space, and then they move into more operational maintenance cleaning. And that's when we see the incremental benefit of the new square footage being added. But we think the vertical markets we serve have a number of tailwinds to them on a macro basis. So, we're really excited about 2024 and beyond.
Tim Moore: Great, Dave. That was very helpful. My next question is about Gaomei. Can you update us -- that's a more affordable cost platform in China. Is it being rebranded still for other low-cost countries like Brazil? And maybe if you can give us some progress update on that and the opportunity there for maybe that low-cost compact ride-on too?
Dave Huml: Yeah. We've been leveraging -- when I talked about new products, answering the earlier question, we've been leveraging our acquired platforms to more competitively position ourselves and compete in those mid-tier markets around the world. And so, that's both our IPC legacy Italian-manufactured platform, as well as our legacy Gaomei China-produced platforms. We've been bringing those into local brands throughout the world, both the Italian legacy product, as well as the Gaomei legacy product. Really excited about it. We've moved the Gaomei, yes. But Gaomei specifically, we have rebranded that product into Latin America with some success, early success, because it's a pretty recent occurrence. And we're also taking it elsewhere within China, and so -- excuse me, within Southeast Asia. So, you can imagine, and we'll bring that into other brands. So, there's still upside from taking that Gaomei brand -- excuse me, Gaomei legacy platform into other brands. We're contemplating a move into other geographies, and we'll do it where it makes sense. For our developed markets, meaning North America and Europe and Australia, New Zealand, for example, we're assessing whether we need to have three different price points to compete in the marketplace, meaning a good, better, best; Gaomei legacy, IPC legacy and Tennant legacy. It's probably overkill for the majority of markets we're in. So, a two-tiered offering makes more sense as we look at the applications and the customers and the channels and our positioning strategy. So, the decision is whether the IPC product is a better fit or the Gaomei product is a better fit for the mid-tier within those geographies.
Tim Moore: That's terrific to hear. Thanks for sharing that. And I'll turn it back over to the operator. Thank you.
Operator: Since there are no further questions at this time, I would like to turn the call over to management for closing remarks.
Dave Huml: Thank you. And thank you for your interest in Tennant Company. This concludes our earnings call. Have a great day.